Operator: Good day, and welcome to the Seer Fourth Quarter 2025 Earnings Conference Call. [Operator Instructions] Please note that today's event is being recorded. I would now like to turn the conference over to Kelly Gura, Investor Relations. Please go ahead.
Kelly Gura: Thank you. Earlier today, Seer released financial results for the quarter and year ended December 31, 2025. If you've not received this news release or if you'd like to be added to the company's distribution list, please send an e-mail to investor@seer.bio. In addition, during today's conference call, we will be referencing a slide presentation that can be accessed on the Events and Presentations section of Seer's Investor Relations website. Joining me today from Seer is Omid Farokhzad, Chief Executive Officer and Chair of the Board; and David Horn, Chief Financial Officer and President. Before we begin, I'd like to remind you that management will make statements during this call that are forward-looking statements within the meaning of federal securities laws. These statements involve material risks and uncertainties that could cause actual results or events to materially differ from those anticipated. Additional information regarding these risks and uncertainties appears in the section titled Forward-Looking Statements in the press release Seer issued today. For a more complete list and description, please see the Risk Factors section of the company's annual report on Form 10-K for the year ended December 31, 2025, and in its other filings with the Securities and Exchange Commission. Except as required by law, Seer disclaims any intention or obligation to update or revise any financial projections or forward-looking statements, whether because of new information, future events or otherwise. This conference call contains time-sensitive information and is accurate only as of the live broadcast, February 26, 2026. With that, I would like to turn the call over to Omid.
Omid Farokhzad: Thanks, Kelly, and thank you, everyone, for joining us this afternoon. I will begin our call today by providing updates on our business, and I will then turn the call over to David to provide more detail on our financial results for the fourth quarter and full year 2025 as well as our outlook for 2026. Starting on Slide 3. Fourth quarter revenue was $4.2 million, bringing full year 2025 revenue to $16.6 million, representing 17% year-over-year growth. Our results this quarter fell short of our expectations primarily due to ongoing budgetary pressures, including uncertainty around NIH funding in the fourth quarter that have continued to impact customer spending decisions. Despite a persistently challenging funding environment, we made meaningful progress across the business in 2025. Our installed base grew significantly. Consumable kit volume increased meaningfully. The Proteograph was selected to power multiple population-scale studies. Total revenue, excluding related party revenue, delivered strong growth of 33%. We nearly doubled the number of cumulative publications and in November, PrognomIQ commercially launched their best-in-class early lung cancer detection LDT, representing the first diagnostic test developed on Seer's technology. As a reminder, Seer owns approximately 20% of PrognomIQ on a fully diluted basis. At Seer, we are building both category-defining products and the market around them. With the Proteograph platform, we fundamentally expanded what is possible in unbiased proteomics, enabling deep large-scale studies that were previously out of reach. In parallel, we've worked alongside the scientific community to unlock the value of this expanded proteomic landscape, demonstrating how comprehensive unbiased access to the proteome can drive entirely new biological insights. We believe the discoveries our customers are positioned to make have the potential to reshape our understanding of disease and over time, result in a sea change in the way we diagnose and treat diseases. My conviction in the transformative potential of our technology has never been stronger. We ended the year with a strong balance sheet of approximately $241 million in cash, cash equivalents and investments. Over the last few years, we have consistently reduced cash burn and managed expenses with discipline while continuing to make concentrated investments in innovation and long-term technological differentiation. I'm proud of the innovation that my team has been working toward, and I will be sharing that with you later in my prepared remarks. Innovation is our key strategic differentiator at Seer, and our balance sheet has and will continue to enable us to make strategic investments toward building a durable world-class life science tools company. Given the dislocation in our share price and our firm belief in our long-term intrinsic value, we repurchased 5.3 million shares in 2025, returning approximately $10.2 million of cash to shareholders. Since the inception of the $25 million share repurchase authorization program in 2024, we have repurchased approximately 11.7 million shares, resulting in a reduction of our total outstanding shares by approximately 13%. We believe this dislocation between share price and long-term value still exists. And as a result, our Board of Directors has authorized an additional $25 million share repurchase program. With that, I'll share more details on the progress we've made throughout 2025 across each of our strategic initiatives. Starting with product innovation on Slide 4. Over the last few years, our focus on innovation has driven a series of product advancements across our platform, spanning our instrument, assay and software offerings. In June, we successfully launched our third-generation assay, Proteograph ONE and our second-generation automation instrument, SP200. These launches have significantly expanded our ability to deliver proteomic depth, scale and reproducibility. Today, more than 1,000 samples per week can be run on the Proteograph ONE, representing nearly a tenfold increase from the 112 samples per week we achieved in 2021. This step change in throughput, together with the depth of coverage that is achieved with our products is foundational to novel biomarker discovery and population-scale proteomics. Importantly, our customers are validating the merits of these advances with several examples in 2025. After extensive evaluation of other proteomic technologies, the Proteograph has been selected for multiple large-scale studies, including a 20,000 sample population study with Korea University and a 10,000 sample project in collaboration with Discovery Life Sciences. Studies of this magnitude were simply not possible with traditional mass spectrometry proteomic approaches, which lacked the depth and scalability to process tens of thousands of samples in a standardized way. The Proteograph fundamentally changed that, enabling researchers to move beyond small hypothesis-driven experiments and into true large-scale biomarker discovery and population-scale multiomic studies. In 2025, we delivered approximately 69% growth in consumable kit volume, expanded our installed base of instruments by 67% to 82 instruments and grew total revenue, excluding related party, revenue by 33%. This performance reflects the increasing scale of our customers' programs and our deliberate efforts to accelerate market adoption throughout the year. Among these efforts, we adjusted our approach to volume-based pricing for larger-scale studies and ran awareness and technology validation campaigns. We also repeated our Insights Grant program for the second year. The program aims to enable researchers to conduct deep unbiased proteomic studies at scale, helping to uncover biological discoveries and potential biomarkers. Past recipients have included researchers from institutions such as Stanford University, NYU and the University of Gothenburg. These initiatives are collectively part of our overall efforts to lower barriers to adoption, drive higher sample volumes and accelerate market development. As a result, we believe we are well positioned to support a growing number of biomarker discovery and population-scale studies in the years ahead. Our innovation to date has established Seer as a leader of deep unbiased proteomics at scale, opening up the market for true proteomics discovery in ways previously not possible. But we are even more excited about what's to come. We're executing against a product road map designed to catalyze our next phase of growth and meaningfully expand our addressable market. In the near term, we're developing the fourth generation of our Proteograph Analysis Suite, or PAS, which we will release later this year to meet the demands of increasingly data-intensive large studies that have now become possible. This version of PAS will include AI capabilities to enable customers to interact with their data through a chat-based large language model interface. As the volume of proteomics data generated across large-scale studies continue to grow, robust and intuitive data analysis will become more necessary. This is an area we have invested in over the past few years and will continue to prioritize. In addition, a key strategy of our R&D road map is to expand our addressable market opportunity beyond discovery and into the rapidly expanding translational market by commercializing a proteoform profiling assay kit in 2027. This new assay is expected to run on our SP200 automation instrument, expanding the utility of this platform for a broader range of proteomics application. We see significant opportunity to apply our capabilities in scalable high-resolution deep proteoform profiling to high-impact areas, including neurodegenerative diseases and oncology. Despite advances in genomics, the need for molecularly informed diagnostics and therapeutics remains large for oncology. In the case of neurodegenerative diseases that are often characterized as proteinopathies marked by misfolded or aggregated proteins accumulating in the brain, spinal cord or peripheral nerves, the neurodegenerative diseases remains largely an unmet need today, and I'm optimistic that advances in proteomics could make a notable contribution toward understanding and treating these diseases. We believe this new assay kit could support translational researchers with earlier disease detection, improve patient stratification and enable precision therapies guided by molecular subtype rather than broad clinical phenotype. Finally, our plan has always been to decrease barriers to widespread adoption of deep unbiased proteomics for discovery, translational and clinical use. To this end, we're developing an end-to-end sample to data proteomic solution purpose-built for high-throughput biomarker discovery and population-scale multiomic studies. A key aspect of this solution is a next-generation detector that is designed to deliver the depth, precision and scale that large-scale biomarker discovery and population studies demand and importantly, it is designed to put deep unbiased proteomics at scale in the hands of a broader group of omics customers. We are designing this solution to reach a depth of proteomics previously unimaginable at speed, simplicity and cost that results in widespread adoption of this platform for proteomics, analogous to what we have seen in widespread adoption of genomics. We have been investing in this solution since 2022, and the data that has recently emerged from this platform validates a highly innovative architecture for high throughput deep unbiased proteomics. I want to congratulate my team for thinking boldly and pushing the boundaries of possibilities. Working with our collaborators and partners, I expect we'll be able to share data on the platform in the second half of the year, and I look forward to sharing more details as the project progresses. Turning to Slide 5. We also continue to expand the reach and impact of our platform. Cumulative publications nearly doubled from 36 at the end of 2024 to 70 at the end of 2025. This strong growth reflects the growing validation around our technology, and we think it serves as a leading indicator of demand. Since our last earnings call in November, 8 new papers have been published. I've previously highlighted the work of Dr. Karsten Suhre from Weill Cornell Medicine on the Proteograph's ability to translate genomic signals into reliable drug targets and clinical biomarkers as well as Dr. Brendan Keating from NYU Langone Health on how deep unbiased proteomics profiling can reveal critical physiologic and immunologic changes in xenotransplant recipients. These seminal papers have now been published in Nature Genetics and Nature respectively, and we believe they will serve as a lighthouse studies for other investigators to build on. In November, PrognomIQ, one of our long-standing customers, commercially launched ProVue Lung, a proteomics-based LDT to aid in the early detection of lung cancer. This exceptional multiomic test was developed using biomarkers that were discovered using the Proteograph, which remains the only solution capable of delivering deep unbiased proteomics at the scale required for multiomics discovery. We are incredibly proud to have enabled what we believe is a best-in-class diagnostic test for early detection of lung cancer with the potential for meaningful impact on human health. This type of breakthrough would not be possible on another proteomics discovery platform. We look forward to many more customers using our platform to discover novel proteomic signatures of disease and for many more tests to be launched that are enabled by the Proteograph. We also had a strong presence at the 2025 Human Proteome Organization World Congress in November with more than a dozen scientific presentations and 16 posters presented that highlight the translational power of the Proteograph. Together, these studies highlight the accelerating adoption of the Proteograph and its growing impact across diverse biological and clinical research areas, including cardiovascular disease, aging and cancer. Several posters demonstrated the power of applying our technology at population-scale to uncover disease mechanisms and identify clinically relevant biomarkers. In invited symposium talks, investigators shared work linking circulating proteins to cardiac dysfunction and aging-related decline through integrated plasma and tissue proteomic analysis. These findings reinforce how Proteograph enables researchers to move beyond narrow panels toward a more comprehensive view of the human biology, helping translate complex molecular signals into actionable biological and clinical insights. Taken together, the data presented at HUPO reflects accelerating adoption of our Proteograph Product Suite within the global research community and underscore our expanding role in supporting translational and population-scale studies aimed at improving disease understanding and ultimately, patient care. Now moving to Slide 6. As I mentioned earlier, we ended the year with a strong and growing installed base of 82 instruments, representing 67% growth compared to the end of 2024, despite the ongoing macroeconomic pressures our customers are facing. Approximately 60% of the instruments installed in 2025 were part of our Strategic Instrument Placement Program or SIPP, and the remainder were outright purchases of the instruments. We implemented SIPP so that capital-constrained customers would be able to leverage their available operating budget for the purchase of consumables and access our technology. Beyond SIPP, we continue to see demand for our Seer Technology Access Center or STAC, which also lowers the barrier for adoption of the Proteograph Product Suite. STAC allows the Proteograph user to run samples in their own lab and have Seer run the mass spec, or alternatively provide end-to-end services from sample to proteomics data and analysis. Roughly half of our instrument installs in 2025 were from previous STAC customers. We believe our traction last year is a testament to how important and effective these initiatives are to driving adoption of the Proteograph. Our expanded partnership with Thermo Fisher Scientific to co-market and sell the Proteograph Product Suite alongside their Orbitrap Astral Mass Spectrometer continues to progress well. We continue to work closely to pursue numerous opportunities from individual customer accounts to large population-scale studies. We look forward to this partnership driving additional adoption of the Proteograph Product Suite with time. In addition, we recently initiated a search for a Chief Commercial Officer, a role we believe will be transformative in how we engage customers and capture the market opportunity ahead. We believe this addition will enhance our exceptionally talented team and look forward to sharing an update soon. While we continue to see pressure on CapEx budgets and elongated sales cycles, especially in light of ongoing funding challenges for academic customers, we're encouraged by the growth in our installed base, the growing utilization of our platform and the external validation supporting its value. With that, I will now turn the call over to David.
David Horn: Thanks, Omid. Turning to Slide 7. Total revenue for the fourth quarter of 2025 was $4.2 million, representing an increase of 5% compared to $4 million in the fourth quarter of 2024 and was primarily due to higher product revenue. Revenue recognized primarily consisted of sales of Proteograph automation instruments, consumable kits and service revenue. Product revenue for the fourth quarter of 2025 was $2.8 million and consisted of sales of Proteograph instruments and consumable kits. Service revenue was $1.2 million for the fourth quarter of 2025 and primarily consisted of revenue related to STAC service projects. We did not recognize any related party revenue in Q4 2025. When excluding related party revenue of $389,000 recognized in Q4 2024, total revenue grew 16% year-over-year. Other revenue was $128,000 for the fourth quarter of 2025 and consisted of lease and shipping revenue. Total gross profit was $2.2 million for the fourth quarter of 2025, representing a gross margin of 52%, compared to $2 million in the fourth quarter of 2024, representing a gross margin of 51%. Gross margins were driven by greater consumable kit sales in the fourth quarter of 2025. Total operating expenses for the fourth quarter of 2025 were $19.6 million, including $3.2 million of stock-based compensation, a decrease of 23% compared to $25.5 million, including $6 million of stock-based compensation in the fourth quarter of 2024. Research and development expenses for the fourth quarter of 2025 were $9.7 million, a decrease of 23% compared to $12.6 million in the fourth quarter of 2024. The decrease in R&D expenses was primarily due to decreases in laboratory expenses as well as stock-based compensation and professional services. Selling, general and administrative expenses for the fourth quarter of 2025 were $9.8 million, a decrease of 24% compared to $12.9 million in the fourth quarter of 2024. The decrease in SG&A expenses was primarily due to a decrease in stock-based compensation and business expenses. Net loss for the fourth quarter of 2025 was $16 million compared to $21.7 million in the fourth quarter of 2024. Turning to the full year. Total revenue for the full year 2025 was $16.6 million, representing an increase of 17% compared to $14.2 million in 2024. Revenue recognized primarily consisted of sales of Proteograph automation instruments, consumable kits and service revenue. We recognized $761,000 of related party revenue in 2025 compared to $2.3 million in 2024, an expected decline as this customer transitioned from primarily discovery work towards commercialization of their LDT. When excluding related party revenue, total revenue grew approximately 33% in 2025, demonstrating solid underlying revenue growth in our business. Product revenue for the full year 2025 was $11.2 million, including $5,000 of related party revenue and consisted of sales of Proteograph automation instruments and consumable kits. As Omid shared, we were pleased to see an approximately 69% increase year-over-year in kit sample volumes, which demonstrates increasing utilization of our technology. In support of our customers running larger studies, along with continued market development efforts, we strategically provided discounted pricing for these kits in order to accelerate the adoption of our technology in population scale studies and expect these efforts will translate into higher volumes in the future. Service revenue was $4.9 million for the full year 2025, including $755,000 of related party revenue and primarily consisted of revenue related to STAC service projects. We remain encouraged by the continuing customer interest in running projects through STAC, since it allows more users to gain access to Proteograph data. Other revenue was $459,000 for the full year 2025 and consisted of lease and shipping revenue. Our installed base of instruments as of year-end 2025 was 82 instruments, representing a 67% increase from 49 at the end of 2024. We were pleased by the significant uptick we saw in terms of expanding our installed base throughout the year, despite the continued pressure we are seeing on CapEx budget and elongated sales cycles for the outright purchase of new instruments. Looking closer at our installed base, approximately 60% of our installations were part of our SIPP program, and roughly half were from previous STAC customers. For 2025, the consumable spend across that installed base represents a pull-through per instrument of approximately $113,000. We calculate pull-through based on our year-end installed base rather than average installed base throughout the year. Therefore, due to our significant increase in instrument installations in 2025, we saw a decline in our pull-through per instrument in 2025 as these new customers get up to speed with their use of the Proteograph Product Suite and work through their initial stocking order of consumable kits. Going forward, we will continue to report instrument installed base and consumable pull-through on an annual basis. Total gross profit was $8.5 million for the full year 2025, representing a gross margin of 51% compared to $7.1 million in 2024, representing a gross margin of 50%. Gross margins were driven primarily by greater consumable kit sales in 2025 relative to 2024. We continue to expect overall volatility in our quarterly gross margins and believe that at scale, our long-term gross margins will be in the range of 70% to 75%. Total operating expenses for the full year 2025 were $86.5 million, including $15 million of stock-based compensation, a decrease of 19% compared to $107.2 million, including $26.6 million of stock-based compensation in 2024. Research and development expenses for the full year 2025 were $43.9 million, a decrease of 13% compared to $50.6 million in 2024. Selling, general and administrative expenses for the full year 2025 were $42.6 million, a decrease of 25% compared to $56.6 million in 2024. Net loss for the full year 2025 was $73.6 million, compared to $86.6 million in 2024. In addition, we continued our share repurchase activities in 2025, since we continue to believe that there is a significant dislocation in our share price that does not reflect our intrinsic value. During the year, we repurchased approximately 5.3 million Class A common shares at an average price of $1.93 per share. Since the beginning of our repurchase program in May 2024 through December 31, 2025, we have repurchased approximately 11.7 million Class A common shares at a VWAP of $1.87 per share, utilizing approximately $22 million of our $25 million share repurchase program authorization. As a result, we've reduced our net total shares outstanding by approximately 13%. In addition, given the continued dislocation in our share price, the Board of Directors has authorized an additional $25 million share repurchase authorization. Free cash flow loss was approximately $45.6 million for the year ended December 31, 2025, an improvement from $49.4 million in 2024 and $66.4 million in 2023. We expect to reduce our free cash flow loss again in 2026, and we'll continue to manage our cash in an extremely prudent manner. We ended the quarter with approximately $241 million in cash, cash equivalents and investments. Importantly, we believe that with our current cash, cash equivalents and investments on hand, we have sufficient capital to reach cash flow breakeven. I also want to briefly address an announcement that we made earlier today that the Board voted unanimously to adopt a tax benefit preservation plan to help preserve and protect our net operating loss carryforwards and other tax assets. As of December 31, 2025, we had an NOL balance of approximately $262 million, which represents a valuable asset of Seer that can reduce our future federal income tax expense. The plan we've adopted is consistent with similar plans adopted by other public companies and goes into effect immediately. Additional details are available in the Form 8-K filed today. Turning now to our outlook for the year on Slide 8. We expect revenue to be in the range of $16 million to $18 million for 2026, representing growth of approximately 3% at the midpoint over the full year 2025. At the midpoint, our guidance reflects ongoing pressure on instrument placements and new project funding since customers remain cautious with new expenditures in the current uncertain funding environment, especially as it relates to NIH funding. We expect customer behavior to remain in line with the trends observed in the second half of 2025, which have persisted into the start of the year. We were encouraged by recent NIH budget approval, but there remains ongoing uncertainty around government funding and our customers' ability to accurately forecast and rely on the receipt of NIH funds, which causes them to delay purchases. Given our current revenue base, our results can vary quarter-to-quarter as larger opportunities move through our pipeline, creating natural fluctuations in reported revenue. Of note, our guidance does not include contributions from additional population scale studies that we may announce in 2026, which would represent upside to our guidance range if they occur. At this point, I would like to turn the call back to Omid for closing comments.
Omid Farokhzad: Thank you, David. Moving on to Slide 9. I'm encouraged by our progress in 2025 as exemplified by the growth in our installed base, kit sample volume, product and service revenue, number of peer-reviewed publications and quality of large-scale studies powered by the Proteograph. We believe the field is at a clear inflection point, shifting from focused hypothesis-driven experiments toward large-scale data-driven biological discoveries. Advances in AI are enabling researchers to extract entirely new biological insights from vast multimodal data sets. However, these models are only as powerful as the data behind them and require proteomic content that is complete, precise and scalable. We believe Seer is uniquely positioned at the center of this transformation as we enable the high-quality, large-scale proteomics data needed to power AI-driven biological discovery. Looking ahead, we believe we have a strong set of catalysts that will drive our growth in 2026 and beyond. These include expanding our addressable markets through new product innovation, which I discussed earlier; winning additional population-scale cohort programs; growing and driving utilization of our rapidly expanding installed base; and establishing our leadership position as the preferred proteomic data platform for AI-driven biology. I have never been more confident in the opportunity ahead, and I look forward to updating you on our progress against our key initiatives throughout the year. With that, we will now open it up for questions. Operator?
Operator: [Operator Instructions] And the first question today will come from Dan Brennan with TD Cowen.
Kyle Boucher: It's Kyle on for Dan. Maybe to start, just on the fourth quarter, can you maybe just walk us through some more of the puts and takes of the quarter? You came in a little bit below the low end of your guide. I mean, was there anything that kind of slipped out of the fourth quarter into 2026? Or how should we think about that?
David Horn: Yes, Kyle, thanks. It's David. Yes, I think that, as we said in our prepared remarks, there was some NIH funding around some projects that got delayed that was supposed to be paid in '25 and didn't, got pushed into this year. So consequently, we had a customer delay a purchase from the fourth quarter. So it was really around that delayed NIH funding. And we've seen it across a couple of our academics where they're just -- they're much more hesitant now to purchase without the money in the bank, just given the current environment.
Kyle Boucher: Got it. And then maybe just moving on to the guide for '26. You saw a lot of momentum in 2025, including over 30 instrument placements. That's the number of studies analyzing tens of thousands of samples, and there's been a number of third-party publications that have driven a lot more awareness among customers. I guess, with that being said, can you walk us through the puts and takes of the guide then? With the momentum you've seen in the last couple of quarters, even with the disruptions that you've seen, is there any reason why growth couldn't be better in '26, just considering the momentum and the number of instrument placements you achieved in 2025?
Omid Farokhzad: Kyle, Omid here. Maybe let me start it, and I'll hand it to David. So I agree with you that given the installed base growth in the consumable volume, the guide may seem conservative. I think the challenge we have is that until I see a very clear momentum, we want to be guarded in the way we see our revenue projections. Remember, today, the customer has a choice to make when they engage in a proteomic study. And that choice is, do they use the approaches that are targeted. Often, the readout is on an NGS platform that they're very familiar with. Or do they go to an untargeted approach, the one that Seer offers, where the detector is a different one that they have used or been familiar with, which is the mass spec. And if you've invested years of research in generating lots of data, body of data that reads on that targeted approach using a detector that you're familiar with and now comes an alternative, which is the unbiased approach, there's an activation energy to take you off of what you've done, a lot of data that you've generated, and into a new platform. Now the value of that new platform is becoming very clear, increasingly clear at a pretty sharp velocity. I mean, we started with literally no publication just 3, 4 years ago to now 70 publications showing the value of it. And many of these publications are in top journals like Nature and Nature Genetics, Nature Medicine, Nature Aging. And we're also seeing an entire diagnostic test being launched on biomarkers that could only be discovered using an untargeted or unbiased approach, when you go deep and you do it at scale, and Seer is the only solution that does that. So I think there is a matter of time when that activation energy results in a shift and a transition where the potential discovery power of Seer becomes clear. And when that happens, revenue growth shouldn't be in 10%, 20%, 30% range, revenue should double or even more. I'm just not seeing that yet, but the tailwind is getting stronger. Now the challenge we have, and I think David should comment, is that when you're in small numbers of revenue, 2 customers coming or not makes quarters very lumpy. So we're going to have lumpy quarters, and we're going to try to build the business. And if you look at it, excluding PrognomIQ, the revenue has actually grown by about 30% or so. But again, these are small numbers. My expectation is that when the flywheel begins to turn, revenue growth could be more substantial. And I'm just not seeing that yet, Kyle. But what I do see is that the tailwind is getting stronger and stronger, despite the ongoing headwind of the macro picture, the dynamics around the NIH and everything else and our peers are struggling with. David, I'm not sure if you want to add any to that.
David Horn: Yes. All I'd add, Kyle, is, yes, the guide does assume we kind of have a difficult NIH environment remaining as far as we can see. As I also said in the prepared remarks, we do see some upside from some additional population studies. And we are in conversations with several large cohorts and we did not build that into our guidance because, again, it's kind of binary. It's something where you either get it and it's significant or you don't. So we just decided to be conservative until we get some of those potentially larger studies. So there is some potential for upside if we are able to get some of those additional population scale studies.
Kyle Boucher: Got it. And maybe just one more quick one here. Now that you have over 80 placements out there and awareness has grown so much among customers, are there any other factors that are limiting adoption beyond the funding environment and beyond what you just mentioned? What does customer feedback sort of sound like as you place more of these instruments?
Omid Farokhzad: Kyle, I think the data that's coming from the customers is reflected on the publications that are coming. The biological insight that comes when you do untargeted proteomics at scale is profound. And by the way, several years ago, when we were just launching Seer in terms of our commercial product, back then I said that targeted approaches and an approach like Seer, untargeted approaches are complementary and will always coexist. Analogous to NGS and microarrays, value proposition of both for distinct application is clear. The thing is back then, just going back 2 or 3 or 4 years, there was an arms race for trying to get more and more plex on these targeted approaches to increase it. The thing is, no matter how much you do that, you're never going to get to the depth of the complexity of the proteome. Untargeted approaches allow that, allows discovery of content that is not known. And what we're seeing now is, in fact, targeted approaches are getting smaller and smaller plex. That is exactly the right answer. In fact, if you look at one -- in one case, where they're having enormous success commercially, their plex is a little bit more than 100 proteins. But importantly, those 100 proteins are protein variants that are important in disease. So, for example, a particular phosphorylated form of a protein that results -- that has a signal in the disease, not just that protein in its normal form that you would find. So to answer your question, I think what we need is for the evidence to grow. It has grown from almost no publications. In fact, it has grown from no publications to now 70. Those data, the body of data that's coming from the customers, is translating in opportunities like large-scale biobank studies. Remember, we're still relatively early in this game. So to have opportunities to do large-scale biobank studies on the back of 70 publications, speaks volume to the recognition that the scientific community has in the profound impact of untargeted proteomics at depth and scale that Seer enables. David, I'm not sure if you want to add anything.
David Horn: No, I think you covered most of it, Omid. Yes, it's just continuing to try and drive the commercial side, Kyle, with all the various facets that we have with evidence and growing body of customers and references.
Operator: And this does now conclude today's question-and-answer session as well as today's conference. Thank you for attending today's presentation. You may now disconnect your line.